Operator: Good day, ladies and gentlemen, and welcome to the Second Quarter 2013 South Jersey Industries Earnings Call. My name is Crystal, and I will be your coordinator for today. [Operator Instructions] I would now like to turn the presentation over to the host for today, Mr. Steve Clark, Vice President of Finance. Please proceed.
Stephen H. Clark: Thank you, Crystal, and good afternoon, everyone. As Crystal mentioned, I'm Steve Clark, Vice President of Finance for South Jersey Industries, and I'd like to welcome you to South Jersey Industries' Second Quarter 2013 Earnings Conference Call and Webcast. Joining me today on the call are Ed Graham, our Chief Executive Officer; Dave Kindlick, our CFO; Mike Renna, President of our Nonregulated Businesses; Jeffrey DuBois, President of the Utility; Ann Anthony, our Director of Finance and Investor Relations; and also joining us today is Marissa Travaline, our new General Manager of Investor Relations. Before we get started today, I'd like to remind you that during the course of this call, we may make various remarks about future expectations, plans and opportunities for South Jersey Industries. These remarks constitute forward-looking statements for purposes of the Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these statements as a result of various important factors, including those discussed in the company's Form 10-Q on file with the SEC. Further, we assume no duty to update these statements, should actual events differ from expectations. As always, we'll be discussing our business in the context of 3 business lines: The Regulated Utility, Retail Energy and Wholesale Energy. Before we review our results, I'd like to refer you to our second quarter 2013 earnings release, which was issued this morning, for in-depth discussion of our results from both a GAAP and an Economic Earnings basis. The measure we use to asses SJI's performance is Economic Earnings. This measure eliminates all unrealized gains and losses on commodity and on the ineffective portion of interest rate derivative transactions, adjust for realized gains and losses attributed to hedges on inventory transactions and the impact of transactions or contractual arrangements, where the true economic impact will be realized in a future period. Now I'd like to turn the call over to Dave Kindlick to review the financial results for the second quarter and first half of 2013.
David A. Kindlick: Thanks, Steve. The second quarter income from continuing operations on an Economic Earnings basis was $9.9 million or $0.31 per share as compared with $8.6 million or $0.28 per share for the same period last year. In the first half of 2013, SJI posted income from continuing operations on an Economic Earnings basis of $58.3 million or $1.83 per share as compared with $58.7 million or $1.93 per share for the first half of 2012. In our Q1 presentation, we anticipated that a key driver of second quarter results would be higher net income benefit from utilities, infrastructure investment programs. That impact is actually being realized as we recognize a greater share of the recovery of these investments during the second quarter. On the nonutility side, performance factors most significantly impacting the quarter included: Customer growth in our retail commodity marketing business, positive performance at our CHP facilities and the benefit of renewable energy project investment tax credits. Let's look first at the details related to South Jersey Gas. For the second quarter of 2013, SJG grew its bottom line, posting net income of $3.8 million compared to $3.2 million in the second quarter of last year. From a year-to-date basis, the utility has posted net income of $39.3 million as compared with $38.3 million last year. The utility contributed nearly 68% of SJI's earnings for the first 6 months of 2012. The only item that benefited earnings for the quarter is the net income benefit resulting from the infrastructure investments from our certain air programs, steady customer growth and a decrease in pension costs. These items more than offset the impacts of higher borrowing levels and depreciation expenses associated with our investments and plan. During the first 6 months of 2013, we spent approximately $21.4 million on infrastructure projects under our air program and anticipate spending an incremental $13.8 million under the program by the end of the year. We expect that our accelerated infrastructure programs will contribute incremental net income of $2.5 million more in 2013 than in 2012. Now in its fourth year, our accelerated infrastructure program will generate an investment more than $35 million in our system for 2013. This capital spend is in addition to our normal annual system related CapEx. While our current program was moved to 2016, we anticipate similar programs and regulatory treatments in the future, as New Jersey continues its focus on system safety and reliability in the aftermath of Super Storm Sandy. SJG also continues to enjoy annual customer growth that outpaces the national average of our peers, as reported by the American Gas Association. During the 12-month period that ended June 2013, we added over 5,100 new customers, an increase of 1.5% to over 359,000 customers. On an annualized basis, the additional customers will add an incremental $1.7 million in aftertax margin. This growth is slightly lower than the 1.7% reported for the same time last year. In 2013, extremely wet weather during the second quarter hampered our ability to bring customers online as quickly as request for service were being received. We have already started to recover from this delay and expect to continue recovering these gains in the second half of the year. We anticipate adding 3,200 more conversion customers for the remainder of the year. With natural gas prices projected to remain low, we expect to see continued strong conversion growth. We're also looking forward to a future uptick in new construction as New Jersey continues its economic recovery. Our ability to accelerate customer conversion through the economic downturn has positioned SJG well to see significant bottom line impacts, as new construction services are added for this long-term customer growth conversion numbers. Now we'll review the results for our nonutility businesses. These businesses contributed $6.1 million of Economic Earnings in the second quarter of 2013, an increase of approximately $700,000 over last year's Economic Earnings of $5.4 million. On a year-to-date basis, nonutility operation produced $19 million in Economic Earnings, down from $20.4 million for the first half of 2012. This $19 million, Marina Energy, our on-site energy production company, produced Economic Earnings of $17.7 million for the first half of 2013, up from $16 million last year. As we detailed in our first quarter presentation, the composition of our non-utility earnings continues to shift away from our wholesale commodity marketing business toward our Retail Energy project business. As such, we expect to continue seeing a lion's share of our nonutility earnings produced through Marina and its joint venture, Energenic. Together, these 2 entities continue to be major players in the CHP and solar development arenas, both in New Jersey and beyond. Marina generated Economic Earnings of $7 million during the second quarter of 2013 versus $5.7 million in 2012. During the second quarter of 2013, we booked approximately $6.9 million of investment tax credits related to renewable energy projects scheduled for completion this year compared with $4.8 million booked in the same quarter last year. For the year-to-date, investment tax credits totaled $17.6 million in 2013 compared with $15.1 million for the first half of 2012. Marina's second quarter earnings also benefited from the completion of a full year of operation by the Energenic facility at Revel, which came online in April 2012. This $162 million district energy facility, which $120 million was project-financed, provides all heating, chilling and electricity at this resort. Increased hotel occupancy at Borgata property, served by the Marina Thermal Facility, also added to the earnings for the second quarter. As we indicated in the first quarter, CHP and thermal projects remain highly profitable. In the second quarter, these projects generated earnings that exceeded 2012 levels by 7%. Our operating solar projects are also showing improved results, as SREC prices continue to rebound. We anticipate margins on these projects will continue to improve. The queue of retail projects opportunities reinforces our confidence and a potential strong growth of our Retail Energy project portfolio. Although new CHP projects continue to be our focus for the utility-like annuity income streams, we are also continuing to selectively add solar projects. There are 12 in development and scheduled to come online in 2013, with a project cost of approximately $118 million, giving 34 megawatts [ph] of electric generation. Now let's turn to South Jersey Energy, our electric and gas commodity marketing business. SJE generated Economic Earnings of $1.2 million in the first 6 months of 2013 versus income of $900,000 in 2012. For the quarter, SJE increased its Economic Earnings to $345,000 in 2013 versus a loss of $32,000 in 2012. These results were achieved largely through continuing customer growth by adding a series of smaller contracts. These contracts have allowed us to fill the void left from the loss of a large contract, which provided electricity to school districts in New Jersey. In our Wholesale Energy business, Economic Earnings for the first half of 2013 reflected a loss of $796,000, down from income of $3.5 million last year. In the second quarter of 2013, this business generated a loss of $2 million compared with a loss of $470,000 in the second quarter of 2012. Prior to 2012, the focus of this upstream business had been its asset management marketing activity. However, as the margins were eroded by low-cost, low natural gas prices, an increasing transportation and storage cost, resources will begin to ship its business focus to capitalize on marketing opportunities throughout the Northeast. We have taken actions recently to produce our reservation fees on lease gas storages in the face of a relatively flat forward curve for natural gas. We expect to see the benefit of that action in 2014. Additionally, one of the most promising opportunities for this business remains our ability to act as fuel manager for natural gas-fired merchant generation plants, which are being developed to take advantage of the low-cost gas environment, as these gas-fired plants have become a very attractive alternative to coal-fired generation at a number of locations in New Jersey and beyond. Finally, before I turn the call over to Ed, I'd like to address our balance sheet. As of June 30, SJI's equity-to-capitalization ratio improved to 46% as compared to 44% at the end of the second quarter of 2012. During the first half of 2013, we used collections on previously under-recovered utility regulatory clauses, as well as the net cash proceeds received on the sale of LVE Energy Partners and the refinancing of certain energy projects to reduce our short-term borrowings. Our goal remains for SJI's equity-to-capitalization ratio to average at least 50% on an annualized basis. In support of that goal, between dividend reinvestment and optional cash purchases made through the plan, SJI has raised equity capital of $13.5 million through July 2013. In April, SJI discontinued the 2% discount on shares issued through the DRP in an effort to manage the amount of equity raised through the plan. During 2013, we expect to raise equity of up to $40 million in total throughout -- through the DRP. We anticipate that SJI's equity-to-capitalization ratio will continue to improve on both an actual and an average basis as a result of the additional equity and the debt reduction actions I mentioned a moment ago. Now I'd like to turn the call over to Ed to talk about what's ahead of us.
Edward J. Graham: Thanks, Dave. I'm very pleased with our performance during the first 6 months of 2013 as a whole, and in particular, the progress we've made in the second quarter. Utility is benefiting from our incremental infrastructure investment programs, as well as our strong and continuing interest in conversions in natural gas. On the nonregulated side of our business, we see tremendous opportunity for Retail Energy projects, as well as for fuel management and producer marketing services in our Wholesale business. Also, we expect to capitalize on opportunities for unlimited restructuring of business lines and assets that will only improve earnings. Longer term, we remain confident that the development of the Marcellus Shale and our geographic proximity to it will positively impact our long-term business plans through marketing relationships and our passive royalty interest. Considering the strong foundation SJI has in place, layered with an abundance of both long- and short-term energy project opportunities, we are reaffirming our 2013 guidance of 4% to 8% growth in Economic Earnings per share. So let's take a look at the key initiatives driving this growth. Beginning with the utility, in the wake of Super Storm Sandy, robust discussion has focused on the concept of hardening assets. In addition to the direct damage to structures from the storm, resulted loss of utility service for days, weeks, and in some cases, months at a time, to many of our state residents, underscored the need for hardened assets. During this time, a number of facilities with CHP systems were highlighted their ability to continue providing needed services at a critical time. As a result, I called a target critical assets by expanding CHP at both public and private entities, has been fast-tracked, and we anticipate that this will be an important opportunity for South Jersey Gas to assist with providing a solution. The first program to harden critical facilities that could operate 24/7 in shelters, for health and safety purposes, could be formalized as early as this fall. On-store [ph] applications include educational facilities, hospitals, prisons and waste treatment facilities. The opportunities for the utility is not only in the potential to provide natural gas to these CHP systems, but within our territory, we also have the opportunity to perhaps finance in the form of loans to these entities, on which the utility would earn a return as a regulatory asset. Similarly, as many of you know from our presentation in the first quarter, we received approval for $141.2 million of 4-year accelerated infrastructure replacement program that runs through 2016. Given the availability of plentiful low-cost Marcellus gas to the Northeast market area, we expect that this historically low natural gas price will continue, providing the headroom needed to make these investments without unduly burdening our customers. As a result, we are hopeful that our regulators will continue to support regulatory treatment that takes a proactive approach to infrastructure investments going forward. Customer interest in conversions to clean burning natural gas remains very strong. We continue actively extending our distribution system to areas not served by natural gas based on identified demand. The up to 70% price advantage that natural gas currently has over alternative fuels clearly supports our marketing effort to the universe of approximately 150,000 households in our service territory not currently heating with natural gas. We anticipate adding 5,500 conversion customers in 2013 and are working on programs to exceed that level in 2014 and beyond. We also look forward to any upward movement in the new housing market. We are currently adding customers from new housing development at about 1/4 of the levels that we added back in the mid-2000s. An increase to even half of that old level would significantly add to our bottom line. Between our incremental infrastructure spending programs, customer growth and substantial general capital investment, all of which are significant factors in consideration of a rate case filing, we should be well-positioned for continued earnings growth at the utility, both in the near term and longer terms. Now let's move to a discussion of our nonregulated businesses. We remain confident that we are well situated for significant economic benefit from energy project opportunities that are beginning to present themselves in New Jersey and beyond. Our activities related to Marcellus Shale gas continues to bear fruit in the form of long-standing relationships we have, which enable partnerships that present valuable energy project opportunities. The emphasis on asset hardening has brought to the forefront a vigorous discussion of the benefits of combined heat and power capabilities. From this discussion, there has arisen parallel regulatory and legislative tracks for proposals incentivizing the development of these projects. As part of the discussion and as one of the foremost developers in this type of project in the region, we are well-positioned to support the state's effort to improve the reliability and resilience of its energy infrastructure through the development of CHP projects. These projects feature a long-term annuity-like income streams that flow to moderate risk profiles. Our goal continues to be to add 1 to 2 CHP or thermal projects a year and to selectively fill in the portfolio with solar projects. A promising addition to our energy project portfolio is Energenic's public-private construction project with Montclair State University, which is developing a new combined heating, cooling and power system for their Montclair campus. A $91 million project is enabling the university to replace its current heating and cooling system without construction or funding from either the University or the State of New Jersey. The new state-of-the-art facility and its related infrastructure improvements will replace the campus' existing energy plant and is expected to be in service in the fourth quarter. Additionally, we're at various stages of planning and negotiation on 10 prospective CHP projects and a significant queue of project inquiries and new opportunities are rising daily. On the solar front, we continue to generate significant numbers of SRECs, all of which should benefit from the legislation signed by Governor Christie in 2012 which accelerates the renewable portfolio standard for solar energy. The start of the energy year 2014 brings the potential for solar market dynamics to continue shifting and more evenly spread the demand for solar projects, supporting their financial viability and protecting the value of current and future SRECs. To that end, we have been very encouraged by the gradual recovery of SREC prices. Fuel cells we are adding at Energenic's Hartford steam plant, which is shared by a major hospital customer, is exactly the type of add-on opportunity we had hoped to realize when we acquired the plant. As you may recall, the downtown system at the plant provides chilled and heated water plus electric generation for 44 buildings. The south-end system provides electric generation and chilled and heated water to 2 tenants: Hartford Hospital and The Learning Corridor, a multibuilding campus housing several educational institutions and a performing arts center. We anticipate positive earnings impacts in the future from this project and others like it. Now let's review our Wholesale Energy business. Longer term, we continue to see opportunities to extract value from Marcellus gas. South Jersey Resources Group has taken a number of actions restructuring storage and transportation contracts, as well as supply contracts. We expect to begin realizing those benefits in 2014. While we'll begin serving the LS Power facility in Deptford, New Jersey in 2015, we also expect to be able to announce soon the execution of another major supply in fuel management and contract for a facility that will take approximately 120,000 decatherms per day when it is at full volume in 2016. These longer-term contracts lever nicely, supporting all of our non-utility earnings targets. The abundant supply and price advantage of natural gas over other fuel sources continues driving discussions about electric generation projects in New Jersey, Pennsylvania and Ohio. In addition to the contracts I just noted, we are currently in negotiations with several other entities of potential supplier arrangements for natural gas-fired power plants. This group also continues to market in excess of 700,000 decatherms per day for producers under both short- and long-term agreements and are regularly developing new relationships and ultimately, opportunities based on Marcellus connections. To sum it up, we remain very confident in the potential for our long-term income growth. We continue to see opportunities across our business line, to build upon what we've already achieved and we continue ensuring that we have the appropriate talent, relationships and resources to ensure continued success. Our infrastructure investment and customer growth on the utility side are very well complemented by the energy project opportunities and commodity marketing business growth. Together, we believe these businesses can and will support our long-term goal to average annual growth in Economic Earnings per share of at least 6% to 7%. This level of growth also supports our policy of dividend growth of 6% to 7% and which the board reviews every November. Thank you for the time today. Now I'd like to turn the call back over to the operator for the question-and-answer portion of the call.
Operator: [Operator Instructions] Our first question comes from the line of Dan Fidell.
Daniel M. Fidell - U.S. Capital Advisors LLC, Research Division: Just a few questions on my side. First, maybe you can give us a little bit more color in terms of where we are in the process on the asset-hardening plan. You mentioned legislative and regulatory discussions ongoing parallel. Can you talk a little bit about just timing for approval and the potential opportunity you see kind of boiling it down? I know you mentioned 1 to 2 CHP projects a year, 10 in queue. What is this -- what would approval mean for you? Could it significantly expand your opportunity there? And just maybe if you could just quantify it for us a little bit.
Edward J. Graham: Sure, Dan. The first comment is, there is legislative action for ways to incentivized CHP. But probably what seems to be moving more quickly is the efforts of the BPU to put something in place. What we see, I guess, is there's 3 components to supporting CHP, or for that matter, emergency generation sales, the combination of things to harden a facility. The first phase would be federal moneys. They're expecting any time now, in New Jersey, an allocation of HUD money from the federal government to support either enhancing transportation assets, as well as energy assets. So once that amount is notified or received, it will determine how much is applicable to energy and specifically, these types of projects. Secondarily, the state is exploring to what degree through EDA or other vehicles lower interest and no interest loan. And then the final is the straw proposal of the BPU, which we would expect to see something in September, which speaks to how natural gas utilities can provide grants and also 0 interest loans to support economics of these projects being built and, of course, utility would earn on those assets just like a rate-based investment. So given that, I think the scope continues to widen what constitutes a critical facility. So as we get more insight as to what that looks like, we would think our opportunities expand significantly. Hard to quantify how much, but there's probably certainly a couple of hundred megawatts immediately that could fall into category for CHP. But the other part of this endeavor to harden would be a facility having a baseload project like an equipment of CHP, but also additional, either emergency generation or something like it on top that cover a peak load. What they're looking at is being able, in total, what's called -- be able to island the facility if the grid goes down so it could operate 100% without an interconnect to the grid. Secondarily, they're looking at Black Start capability that it could immediately start up again if the facilities went down. So this is really even beyond CHP. This is really gas-fired equipment for all those purposes. And so it's going beyond what we originally scoped. It's just adding CHP projects. But at this point, it's hard to quantify, but the opportunity is growing as it gets defined daily.
Daniel M. Fidell - U.S. Capital Advisors LLC, Research Division: That's great. Would it be your intention whether your direct-builder CHP are making loans to developers to get the CHP built, that those would have trackers attached to them?
Edward J. Graham: Yes. In our case, we would expect that the utility of South Jersey Gas would provide the financing to whoever built the projects in the service area and would earn on those -- with trackers or mechanisms similar to our energy efficiency program and our infrastructure programs. And our expectation is that there'll probably be some third party that could decide the priority of what's most critical to do first and how to award projects based on a developer's capability, experience, as well as cost.
Daniel M. Fidell - U.S. Capital Advisors LLC, Research Division: Okay, very helpful. Just switching topics quickly on the gas conversion side. You mentioned in your talking points about 5,500 conversions expected for 2013, and that kind of discussions about moving that number higher in the future years. So how should we think about kind of the upward mobility in that number? Is it 10%, is it 20%? How sizable do you think you can ramp up those conversions in the next few years
Edward J. Graham: Well, I guess, one of the things that we're starting to get is more intelligence about those that are on our facilities or near our infrastructure that are not current customers. And that number, as we've enhanced our system, is growing. So we're somewhere in the 50,000 customer range as far as customers right on -- or potential customers, right on our infrastructure that require little expenditure to support. So hard to quantify. I would be disappointed if we weren't improving that number by 10% to 20% in the future.
Operator: Our next question comes from the line of Spencer Joyce with Hilliard Lyons.
Spencer E. Joyce - Hilliard Lyons, Research Division: As we think about the 4% to 8% guidance range moving through the back half of the year, what are some external things that we can look towards that may there push it towards the top or bottom into that range?
Edward J. Graham: I think, certainly, things that help us to move upward is some of the continued conversion activity, maybe exceeding our targets, but also some of the activities on utility side in terms of contracts of larger customers that would enhance revenue sooner than later. Also, the hardening activities, whether or not any of those could start to benefit us this year. On the nonregulated side, I think the customer growth has been a key. We certainly, at this point, have plenty of opportunity on the project side to support our growth, and as some of the restructuring activities we're undertaking on businesses and some of our assets to make them operate better, as we get them in place sooner than later, I think they'll provide some benefit to this year. What could go wrong to push us towards the downside is probably delays in doing all of those things, I guess.
Spencer E. Joyce - Hilliard Lyons, Research Division: Okay, fair enough. I did hear you there on the non-reg side, some potential cost-cutting to the back half of the year.
Edward J. Graham: Yes. Yes, we're -- yes.
Spencer E. Joyce - Hilliard Lyons, Research Division: Okay. I wanted to stay on the non-reg side for another minute. In the press release mentioned $125 million of solar into service this year. Is it too early to get a read on how much we may have in the service in '14?
Edward J. Graham: It is, but I can tell you that we're very comfortable with the queue of prospects we have for next year. One of the things that's interesting about the projects we are working on is the economics have improved significantly. The cost of projects have driven down to well below half of where they were a year ago, in fact, maybe more like 2 years ago. Likewise, the SREC values have doubled over the last year. So the economics are great. We have a queue, and I think we're in a fortunate position to really invest as much as we'd like to in those projects and its -- because it begins a balancing process of a wealth of natural gas-fired project opportunities and how to allocate our resources.
Spencer E. Joyce - Hilliard Lyons, Research Division: Okay. Yes, you mentioned a kind of interesting phrase. As much as you'd like to, is that $125 million about where you'd like to be or like to stay?
Edward J. Graham: I think, again, we look at the quality of projects. And I think, more than likely, we're certainly going to evaluate what the best projects for the future growth of the company are. So if it was a number like that and they were all very strong projects, we'd certainly entertain them. But more importantly, our primary interest, really, is building CHP and thermal facilities, and certainly, the hardening opportunities that also add emergency generation and fuel cells to that portfolio.
Spencer E. Joyce - Hilliard Lyons, Research Division: Okay, fair enough. On the CHP side, I thought the language was a little interesting in the press release, talking about the CHP and thermal being highly profitable. I was wondering if you could espouse on that a little bit or give a little bit of color of this roughly $7 million or so of earnings for that piece of retail. How much can we attribute to CHP and thermal? Or maybe over the first half, I guess, it's close to $18 million.
Edward J. Graham: I'm looking now. I guess I don't have a breakdown, but I think when we look at our performance, I would say that it's probably several million, and that what we've seen in terms of our performance is some of the offsetting impacts on the renewable side between landfills and the performance of SRECs in the first half of the year. However, I can say on both of those fronts, we see both of them improving considerably with some of the maintenance work we've done on the landfill generating projects, as well as the improvement in SREC value. So we'll have to get back to you with an exact number, but it's probably several million, I think.
Spencer E. Joyce - Hilliard Lyons, Research Division: Okay. Yes, that would be great. I guess, a final follow-up maybe on the SRECs. I know you all don't disclose exactly how many generator or how many cell, but can you give us any kind of feel of what roughly, what kind of sensitivity you guys have to that particular price? I mean, if SRECs are up $100 and you all are pumping out 50,000. I mean, it's pretty easy to see maybe what the earnings impact would be. Is there any kind of extra color you may could give there?
Edward J. Graham: I'll ask Mike Renna to help me on that one.
Michael J. Renna: Yes. Where you were is probably a pretty reasonable estimation of what our sensitivity is. I mean, we have x amount of projects right now that are operating. I don't know the exact amount of megawatts or SRECs that are produced off the top of my head, but yes, every $100 movement is going to have an impact on bottom lines.
Spencer E. Joyce - Hilliard Lyons, Research Division: Okay. Yes, and that should be almost straight margin right there. I mean, if we see a $1 rise, I mean, that's going right in the pocket?
Michael J. Renna: Well, no, not necessarily because we do have 85% of our SRECs are hedged into 2014. So not an exact linear equation. But we have 60,000 SRECs that we are currently producing, so a $1 movement is going to have a slightly less than $60,000 impact on the bottom line. And I can't say -- fortunate in our hedging program to lock in some very attractive pricing.
Spencer E. Joyce - Hilliard Lyons, Research Division: Okay. Yes, I think I understand that point there. One other just final follow-up on the SRECs. Did you sound roughly the same number this quarter as you did in the year-ago Q2?
Michael J. Renna: No. We would have sold more of this.
Operator: [Operator Instructions] Our next question comes from the line of John Hansen [ph].
Unknown Analyst: Just a follow-up. Most of my questions have been asked and answered, but you mentioned again the long-term growth rate, 6% to 7%, right?
Edward J. Graham: Yes.
Unknown Analyst: Just trying to see, as we look out, how important M&A might be in terms of helping to execute that. I know you guys reached out to Hartford in the one business, but just where do you see M&A needing to be done or not needing to be done in terms of the CHP business or the solar business or the LDC business or any other parts?
Edward J. Graham: So we currently established all our targets in our strategic plan and 5-year plan based on organic growth. To the degree opportunities to acquire assets or businesses arise, that would be incremental and, of course, they'd have to be of the nature that would be accretive to our growth, not pull it down.
Unknown Analyst: Good. What about geographic kind of considerations? I know once upon a time, we were doing something out in Vegas, but -- in the one business, but that was an internal development. What do you think about regional versus other areas like that for opportunities?
Edward J. Graham: Well, we don't limit our interest to New Jersey or Southern New Jersey in terms of the retail marketing business. As an example, we're out through New England and the Mid-Atlantic states. Certainly, in terms of project development for CHP and thermal, a lot of opportunity in New Jersey, but we're actively looking at states contiguous to us, certainly, Pennsylvania, and for that matter, New York and even Ohio. In terms of fuel management opportunities for some of the electric generation that's going to be natural gas-fired, opportunities in New Jersey, but again, quite a bit of opportunity in Pennsylvania and Ohio. So we will, because of relationships, also go out of those areas if it makes good sense for an opportunity. And so, in occasions, we have been in other states. We've been in Maryland for landfill generating projects. We've certainly been in Las Vegas for a landfill generating project. So we see a lot of opportunity in the region, but we're not limited to it, if it makes good sense.
Operator: With no further questions, I would now like to turn the call back over to Mr. Ed Graham for closing remarks.
Edward J. Graham: Thank you. Thank you for the questions and the interest. If other questions arise or further information you'd like to know from us, please feel free to call Steve Clark, our Treasurer; or Ann Anthony, our Director of Finance and Investor Relations; or of course, Marissa, our new member to the team. Steve can be reached at area code (609) 561-9000 extension 4260 or by email at sclark@sjindustries.com. Likewise, Ann can be reached at extension 4143 and at aanthony@sjindustries.com. And Marissa, I don't have her -- 4227. So again, thank you, all, for joining us on the call today. Have a nice rest of your day.